Operator: Good afternoon. My name is Shantelle and I will be your conference operator today. At this time, I would like to welcome everyone to the Veeva Systems Fiscal 2018 Q3 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Rick Lund, Investor Relations Director, you may begin your conference.
Rick Lund: Good afternoon, and welcome to Veeva's fiscal 2018 third quarter earnings call for the quarter ended October 31, 2017. With me on today's call are Peter Gassner, our Chief Executive Officer, Matt Wallach, our President, and Tim Cabral, our Chief Financial Officer. During the course of this conference call, we will make forward-looking statements regarding trends, our strategies and the anticipated performance of the business. These forward-looking statements will be based on management's current views and expectations and are subject to various risks and uncertainties. Actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-Q, which is available on the Company's website at veeva.com under the Investors section and on the SEC's website at sec.gov. Forward-looking statements made during the call are being made as of today, December 5, 2017. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter, unless we do so in a public forum. On the call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our website and as an exhibit to the Form 8-K filed with the SEC just before this call. With that, thank you for joining us and I will turn it over to Peter.
Peter Gassner: Thank you, Rick, and thanks to everyone for joining us today. I am pleased to report that we once again delivered a great quarter with revenue and profit above our guidance. Total revenue was $176 million, up 23% year-over-year. Subscription revenue grew 25% and our non-GAAP operating margin was 33%. Q3 was a great quarter in commercial cloud and Vault. Within Vault, we had notable progress in both clinical and quality. We also announced Vault Safety, a new product line for Veeva. I'll provide more detail on each of our major areas starting with commercial cloud. In core CRM, we continue to extend our leadership position as we add new customers and existing customers expand to additional geographies and divisions. In Q3, we had a major purchase and very successful go live in Japan with the top 20 Pharma headquartered in Japan. We think this will serve us an important Lighthouse account for other domestic Japanese pharmas and sets us up for a bright future across multiple market segments in Japan. With a foundation of CRM success, customers are expanding to other areas of the commercial cloud. Just like core CRM, the add-on products of events, align, network and OpenData are usually purchased on a regional basis. Pipeline is building and we expect steady progress over the coming years. For example, this quarter we had one of our biggest booking quarters ever with events management. We had some great new regional wins including three with top 50 global pharmas who had not purchased events management in any region before. Last week, I was in Madrid at our European Customer Summit. We had record attendance with almost 900 people there. The feeling and sense of partnership was very strong. Customers are excited about our progress in multi-channel and they are looking to deploy more commercial cloud products with us over time. They get an integrated suite from Veeva rather than assembling pieces from different vendors and being stuck with the integration burden. At the event, it was clear that we are deepening the strategic long-term partnership we have with our commercial customers. Turning to Vault, we had another excellent quarter. In commercial Vault, business continues at a steady pace. We had a strong bookings quarter with contributions from large and small customers and across all geographies. Migrations from Zinc to Vault PromoMats are progressing well with 2018 and 2019 shaping up to be the big years for Zinc migrations. The largest opportunity for Vault is in the R&D side of life sciences, where we have applications for the clinical, quality, and regulatory areas. Veeva is the only company to offer solutions in all these areas on a single cloud platform. We call this set of applications, the Vault development cloud. Today, systems for product development and life sciences are not well integrated. Customers have systems from multiple vendors and many of them are legacy client server systems. This creates a drag on efficiency, speed and agility in product development. Since it's an area of significant importance and need, development cloud is really resonating with our customers. Now drilling into a few areas of the development cloud; in regulatory, we had a number of wins in the quarter, including one with the top 50 pharma, headquartered in Japan. They were used Vault as their standard for registrations globally. This is their first Vault development cloud application and the start of what we hope will be a great partnership on the R&D side. In clinical, we're making excellent progress in helping companies move beyond the Status Quo. Vault CTMS is our most mature application in clinical and it continues to do well with over 170 customers globally Vault eTMF is becoming the global standard for clinical document management. It also serves as the strategic entry point for our broader suite of unified clinical products. CTMS is off to a great start. Customers are looking for a modern cloud CTMS that is part of a broader suite. In the quarter, we signed our first European CTMS customer and we added our first top 50 pharma. To close the quarter with 11 CTMS customers and four live today. We're really excited about our rapid progress in CTMS. I'm equally pleased with our progress in EDC. We now have five Vault EDC early adopters, initial projects continue to ramp and we now have our first study live. We have the right focus on product excellence and early adopter success. EDC is a complex application in a large market with well established players. It would take years to achieve a market leadership position. We have the right strategy and are making great progress. Customers are looking for a unified suite of clinical products and they can only find that with Veeva. Quality is also going well. We added a record number of quality customers in the quarter between QualityDocs and QMS as the value of these two applications on a single platform is very clear. In fact last quarter, the majority of new QMS customers also license QualityDocs at the same time. One of these was the large global CRO that we signed to an enterprise wide quality deal. We had our U.S. R&D customer summit in October in Philadelphia with record attendance of over 1,000 people. Like at the commercial event last week, the feeling at the R&D Summit was one of deep partnership with the industry. At the Summit, we announced our next new product line in the development cloud Vault Safety. Safety and pharmacovigilance is a large and complex market that needs innovation. Safety is a great fit for the Vault platform and it has many integration points with our clinical and quality suites as well as with Veeva CRM. Customers have been asking us to help with safety for some time now. We’re really excited about this market and what it could bring to our development cloud. We plan to have Vault Safety available to early adopters in 2019. Finally, I want to give a quick update on Vault QualityOne are offering for outside of life sciences. In Q3, we continue to add a few early adopter customers, most importantly our projects with early customers are going well and in many cases early adopters are already expanding. We are pursuing the market outside of life sciences in the Veeva way. Our focus is to learn from early adopters, make them successful and develop Lighthouse accounts that can lead to reference selling. In closing, Q3 with another strong quarter for Veeva with financial results above our guidance, we continue to expand our leadership position in commercial cloud, our Vault Development Could is set for success in a very large market and we have significant potential outside of life sciences is Vault QualityOne. Looking ahead, we expect subscription revenue growth of at least 20% through 2020. We believe Veeva is well positioned to generate strong growth and profitability for years to come as we continue to build a multi-billion dollar company. I would like to thank our customers and partners for their continued support as well as the Veeva team for your focus on customer success and exceptional execution. With that, I'll turn it over to Tim to review our financial results in more detail.
Timothy Cabral: Thanks Peter. Q3 was another quarter of strong results. Subscription revenue was up 25% to $142 million from $114 million last year. For the full-year, we remain on track for well over 50% subscription revenue growth for Vault and 15% subscription revenue growth for Commercial Cloud. As we’ve discussed in the past, we believe that subscription revenue is the best topline metric to gauge the performance of our business. Services revenue was $34 million, up 17% from $29 million one-year-ago and up from $32 million in Q2. With fewer billable days available in Q4 versus Q3, we expect services revenue to decline sequentially by roughly $2 million in Q4. Total revenue for the third quarter was $176 million, up 23% from nearly $143 million one-year ago. Vault strength continue to be the biggest contributor to our growth, representing 40% of total revenue in Q3, up from 33% a year-ago. In discussing the remainder of the income statement, please note that unless otherwise stated all references to our expenses in operating results are on a non-GAAP basis and are reconciled to our GAAP results in the earnings press release that was posted just before the call. In Q3, our subscription gross margin was 81.5%, an increase of roughly 150 basis points from a year-ago. This was driven primarily by the faster growth of our Vault products and our Commercial Cloud offerings outside of core CRM, which have a higher gross margin profile relative to our core CRM products. These benefits were partially offset by the incremental expense associated with our AWS migration. As we ramp the full use of AWS in Q4, I expect a slight compression in subscription gross margin relative to Q3. Services gross margin for the quarter was 32%, which is down from 38% a year-ago and down slightly from 33% in Q2. Given the expected sequential drop in service revenue and our plan to continue hiring to meet demand for next year, I expect services gross margins to be in the mid 20% range for Q4. Our total gross margin for Q3 was 72%, an increase of about 50 basis points from one-year-ago. This improvement was driven by the rise in subscription gross margin, which more than offset the decline in services gross margin. Our operating income was almost $58 million, a nearly 33% operating margin. Across the Company, we added 116 people net in the corner, finishing at 2,100, up from 1,709 one-year ago. While we had a fantastic hiring quarter, some of the expected headcount for Q3 pushed into Q4, which benefited our bottom line results in the quarter. Net income for the quarter was $38 million, compared to almost $32 million last year. As a reminder, we have adopted a flat non-GAAP tax rate of 35%, which we are not adjusting quarterly, but we will reevaluate it on an annual basis. Turning to the balance sheet. Deferred revenue was $173 million compared to $223 million at the end of the second quarter. This resulted in calculated billings of $127 million, which was ahead of our guidance of $118 million to $119 million. This was primarily related to better than expected billings duration for the business closed in Q3 and outperformance on the service revenue line. Please remember that there are numerous factors that make year-over-year comparisons of this metric highly variable on a quarterly basis. Therefore, we do not believe it is a good indicator of the underlying momentum of our business and we do not manage to it internally. Our subscription revenue guidance and calculated billings guidance for the full fiscal year are the best indicators of our momentum. With that in mind for Q4, we expect calculated billings in the range of $272 million to $274 million. This implies full-year calculated billings of $732 million to $734 million or about 22% growth from fiscal 2017. Elsewhere on the balance sheet, we exited Q3 with $758 million in cash and short-term investments, up from $725 million at the end of Q2. This increase was driven by healthy performance in cash from operations of over $32 million, which benefited from better than expected billings and another strong collections quarter. As discussed on previous calls, this is the first year that we are adopting ASU 2016-09, which changes the accounting treatment of tax benefits associated with our stock-based compensation. For Q3, this benefited operating cash flow by almost $9 million. Excluding that benefit, our operating cash flow for the quarter would have been almost $24 million. And excluding the excess tax benefit, we expect operating cash flow in Q4 to be roughly breakeven. As a reminder, Q4 is our typically lowest cash flow quarter because of the seasonal patterns of renewals. Let me wrap up by sharing our outlook for the fourth quarter and an early view of fiscal 2019. For the fourth quarter, we expect revenue between $179 million and $180 million, which leads to $680 million to $681 million for the full-year. Non-GAAP operating income of $50 million to $51 million, which leads to $211 million to $212 million for the full-year, and non-GAAP net income per share of $0.21 to $0.22 based on a fully diluted share count of approximately $154.5 million. For the full-year, we now expect non-GAAP net income per share of $0.91 based on a fully diluted share count of approximately $154.5 million. As you consider our non-GAAP operating income guidance, please recall that Q4 is our highest quarter for certain expenses, so the margin level implied by our guidance should be thought of a seasonal in nature. Let me now turn to next year. While we have not yet completed our planning process and we will provide detailed guidance on our Q4 call. At this point, we are comfortable providing an initial guide of roughly $805 million in total revenue for fiscal 2019. Consistent with our commentary from our Analysts and Investor Day in October, we expect subscription revenue to grow at least 20% in fiscal 2019. For next year, we also expect services revenue growth in the mid-to-high single-digit range. From a bottom line perspective, our early spending plans for next fiscal year would result in a non-GAAP operating margin of roughly 30%. This reflects our continued commitment to invest in our current products portfolio and go-to-market teams as well as our efforts to drive longer-term growth. I also want to highlight that this early fiscal 2019 guidance includes the anticipated impact from the new accounting standard commonly known as 606. As it relates to operating expenses, the impact will be minimal and while the directional impact to revenue is still uncertain, it will likely be small with the worst case scenario being a headwind of a few million dollars. In summary, we are targeting strong growth for next year and we will continue to plant seeds for longer-term growth in order to build a multibillion dollar business over time. With that, thank you for joining us on the call today. I will now turn it over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from Jesse Hulsing with Goldman Sachs. Your line is open.
Jesse Hulsing: Yes. Thank you. On the CTMS front, it sounds like you're getting nice early traction. How much of a full – the eTMF customer base there? Are you seeing CTMS predominantly adopted by existing eTMF customers?
Matthew Wallach: Hey, Jesse, it’s Matt. So as we expected the pull is strong because the integration between the eTMF and CTMS is very deep and tight, you actually use CTMS to create documents that have to end up in the eTMF. And if you can deliver that all in a single product on a single platform, it’s pretty valuable. So the vast majority of the CTMS customers where eTMF customers either first or they actually bought the two products together.
Jesse Hulsing: That's helpful. And I know it's early, but as you look to your planning for next year, do you think you have enough products market that really press on the [gas] for QualityOne in the outside life sciences go-to-market efforts? Thanks.
Peter Gassner: Yes. Jesse, so for QualityOne, it’s important to remember that's an effort we just started last year. So we're really pleased with that progress, so far we have the team in place. I think what we'll look for next year is increasing our customer account and really focusing on those early adopters still, making sure they're successful and then we have to scale it out also within the account. So see if we can work up to some seven figure customers next year because that takes a different level of product support and different level of thinking about the account, so that's what we're really focused on next year. We’re really bullish about the market, QualityOne and we think we can be the leader there, but it's a progress to get there.
Jesse Hulsing: Thanks guys.
Operator: Your next question comes from the line of Bhavan Suri with William Blair. Your line is open.
Bhavan Suri: Hey, guys. Thanks for my questions and congrats. Just a couple quick ones for me, one you gave a lot of color on CTMS in EDC and Quality or – just have an update on regulatory and submissions and how those are trending and tracking to these are the expectations?
Peter Gassner: Sure. Yes, like we've said in past calls, we don't talk about every product line on every call. However, that was certainly not an indication that things are anything, but positive with regulatory. It still feels like we have – it’s really the try effect of those three products, the submissions, document management, submissions archive and registrations, and customers are excited about the publishing capabilities coming next year. The big news in regulatory are a few major projects that we're doing. One of them is a couple of year long project, we're going to replace about 120 different systems with just the RIM suite of all at one of these top 10 pharma companies and that's just one of a few very major transformation projects that we're working on right now. So I think in the smaller size companies, lots and lots of references and the market is moving with reference selling. I think the market is looking at these first global RIM transformation projects and we couldn’t be more excited about where we are with those.
Bhavan Suri: Great, and then just a quick follow up, you guys have sort of talk a little bit about last quarter investing in a sales force specifically focused on CROs. Just wondering how that's going in sort of obviously you had some nice wins with the global CRO, but sort of how that sales force is tracking vis-a-vis a) expectations and then sort of as you’re looking the CRO market? What products are – are you seeing interest an update? Thanks.
Peter Gassner: Sure. Yes, so it certainly feels like it was the right investment to make. I think we have a good team already in place. And that that quality deal is actually a really good indicator of that. So the relationship that we're building with the big CROs is quite strategic and when you sell a quality to a CRO, CRO is not manufacturing products. It's a highly regulated service. But it's so highly regulated when something goes wrong. They have a lot of the same steps as someone who is actually manufacturing the drugs. And so at that company, there's more than 10,000 employees they're going to be using Vault quality, and many of those people are – people that are talking to pharma companies each and every day, either working their accounts or trying to sell new deals. And so when we look broadly at what is the product set that we would focus on for CROs. Clearly it’s eTMF and CTMS to really run the daily operations, but EDC is a tremendously large opportunity there. And QualityDocs and QMS are also perfectly applicable for their businesses. And then there's actually two more in the regulatory area, many of the companies have a growth business to CROs have a growth business to do outsource submissions on behalf of their pharma customers and then the last one that they're really excited about a safety because a lot of these companies also are doing all kinds of safety inputs, what they call it adverse event capture and all kinds of tracking and managing safety events when they happen. So it's a very broad product footprint. It's almost the entire development cloud that we’re working on. And so I'll just repeat the relationship that we can build with the CROs over time, it feels quite strategic.
Bhavan Suri: Okay, thanks for the color guys. Congrats.
Operator: Your next question comes from the line of Kirk Materne with Evercore ISI. Your line is open.
Kirk Materne: Thanks very much and congrats. I guess the first one was, Peter, you mentioned the large deal in Japan; I know you guys don’t [indiscernible] geographies too specifically, but your comments on that opening up new opportunity is interesting. I was wondering if you just give us some color on sort of meet the size the market or where you think you are and how meaningful that might be? And then as I one follow-up for Tim.
Peter Gassner: Okay. Yes, that’s in the Japan market for – Japan CRM in domestic Japanese pharma and that's a market that we've not penetrated very well yet, it tends to be a conservative market. So this was really a landmark customer for us. What I'm excited about is really the sense of partnership there and how well the implementation went and how well the word is getting around. I was in Japan about three weeks ago, meeting specifically with the Japanese Pharmas and that one event is causing a lot of good feeling about Veeva that will translate into good CRM business there, but also into Development Cloud business over there. So I think it was a real testament to Veeva’s ability to operate well in Japan with Japanese companies on something that had very high visibility of this company. This was a very, very strategic project with visibility at the C-Suite level and our team really work well, our product team and our services team. So I guess what you're hearing is enthusiasm for me for our ability to execute in Japan and for what it means for our future both R&D and commercial.
Kirk Materne: Okay. And then just one follow-up for Tim. Tim, I guess I realize it’s preliminary, but your initial operating margin guidance for fiscal 2019, I guess it was a little surprise there's not more of an uplift from moving to 606, given you can capitalize more of that commission costs over the lifetime value of the customer? I don’t know if your still waiting to get a little bit more I guess inside into that before going to prescriptive on that front, but is there some reason why, it seems like more success companies are going to get a little bit of a benefit from that. I guess maybe you're just – can you give me some color on that – you guys are already obviously very profitable, but I was wondering just give us a little color on that? Thanks.
Timothy Cabral: Yes, Kirk. Sure, happy to add some color. I think you're right on two fronts. Number one, as already strong operating model, the impact for us is going to be a little bit less than some other companies who will get a much bigger boost in this. The other thing that I would say is as we discussed at the Analyst Day, our amortization period is only three years and most of our peer group I've heard is at least five and some I've even heard are higher than that. So again the impact for us in operating expense is specifically as it relates to capitalizing commissions is going to be a little bit less. All those things, Kirk I would say were included in my thinking as we put the guidance together. And the last thing I would say, you're correct as well. We're still going through the process of fully understanding the 606 impact both beyond fiscal 2017, which we disclosed in the Analyst Day a month and a half ago. So I think you hit most of the points in your question actually Kirk.
Kirk Materne: All right, great. Thanks. Happy holidays.
Operator: Your next question comes from the line of Brad Sills with Bank of America Merrill Lynch. Your line is open.
Bradley Sills: Hi guys. Thanks for taking my question. I just wanted to ask about the commercial options, you mentioned events aligned being strong this quarter. Could you remind us kind of where you are in terms of penetration of the opportunity and selling not just those, but other options into the installed base? Thank you.
Matthew Wallach: Sure. Thanks Brad. So by just kind of start at the top, the right way to think about commercial cloud is that CRM based product and then all the add-on products. And so to put that all in context, we've just eclipse 70% of the users with the base CRM product. The add-on products, CLM is still above 80%, approved email is still around 40%, events is either right out or just about 10% penetration, and then align and engage are still approaching 10%. And what we found, as Peter said in his prepared remarks is that the add-on products are a bit more regional than some of the CRM deals that we had closed over the years. And so it's just going to take some time to build that penetration and just because we win a company with events or align doesn't mean we necessarily get them globally. So that referenced selling that we do across the industry. We also sometimes will be doing it across the company as we use success in one region to drive sales and the other.
Bradley Sills: Got it. Great. Thanks. And then one more if I may please Tim on the guidance expectation for 20% kind of plus subscription growth embedded in that, is there any change in kind of the rough growth rate between commercial and Vault this year versus next? Thank you.
Timothy Cabral: Yes. So Brad, good question. Certainly, we're early in the planning process here. We will give more details as we have in the past in 90 days from now when we do our Q4 call.
Bradley Sills: Got it. Okay. Thanks, Tim.
Operator: Your next question comes from the line of Brent Bracelin with KeyBanc Capital Markets. Your line is open.
Brent Bracelin: Thanks for taking the question. Good afternoon. Tim, I had a follow-up for you. I’ll start with and then one for Peter. First is, if you think about that initial view for next year, it looks like professional services has been growing in that mid-to-high teens for the last three years. I think your initial view was that could be growth in that mid-to-high single-digits. So walk me through kind of what's the view on professional services and why you think that potentially could slow versus the last three year growth rate? And then I have one follow-up for Peter.
Timothy Cabral: Sure, Brent. So if you think about services, there's probably three things to think about that were included in or informed the comment on the services revenue growth. First, as you know most of our services revenue is not recurring. So it will always have a slower growth profile than the subscription business because we need to build it from almost $1 every quarter, every year. Secondly, as you've heard us say over time, the nature of that business is variable quarter-to-quarter and lumpy. So it's certainly less predictable than subscription. And the other thing that has happened a few years ago with our commercial cloud business, but is now starting to happen more and more with our Vaults business is our implementation partners are really starting to build out their Vault practices. So it's likely that maybe even starting next year they'll start to shoulder more of the revenue pie over time. Those would be the three big reasons, Brent that we’re informed in the guidance that we gave around services revenue.
Brent Bracelin: Very helpful there. And then shifting gears to Peter, I know you will talk a little bit more about 2018 in the next conference call, but at a high level maybe walk us through how you guys are thinking about the narrative that the opportunity next year, what are you excited about in the framework of Vault being really strong in the last couple years, it's now becoming a little more mature opportunity for you? So walk us through as you think about next year, what are you most excited about?
Peter Gassner: Excited about working with the team. We have a great team here. We have a real clear product strategy, it has three prongs, it has commercial cloud which is a steady and growing business where we're really the leader in the industry and we're using that to develop strategic partnerships with our customers over the long-term. And I'm excited about the innovation there in the products doing some really interesting things with the products, new user interface. So that – it’s a customers success excitement with the customers. And of course moving them to the broader commercial cloud from CRM. And then the big opportunity is in the development cloud. In that area it's a really – really early days. We have a lot of products that are in the very early stage. So CTMS, QMS. EDC and Vault Safety, so these are big products, but in the early stage. So I am looking forward there to building up those products, working with the early adopters, and setting those things up for growth for the next five years, seven years. And of course we have some products that are in the nice area of the growth cycle within development cloud, the regulatory products, eTMF products, the QualityDocs products. And then we have third leg of the stool outside of life sciences with QualityOne and that’s not even two years old. I'm looking forward to these early adopter customers expanding, becoming large customers and growing with them. So I think it's going to be a great year for Veeva across all three legs of those growth.
Brent Bracelin: Great. Very helpful. Thank you.
Operator: Your next question comes from the line of Karl Keirstead with Deutsche Bank. Your line is open.
Karl Keirstead: Hi, thanks. So Tim I've got two cash flow questions for you. First, it feels like you've raised your cash flow guidance for fiscal 2018. I think on the last call you said that full-year should equal roughly the first half extra tax benefits. It looks like you're going to do better than that. So I just wanted to ask is that largely due to the margin outperformance or are there other drivers to that guidance revision? And then next year, you're probably going to tell me to wait three months, but I'll ask anyway. As I think about cash flow for next year, I guess one dynamic in mind is that your cash flow growth both this year and last fiscal year has significantly outpaced your revenue growth and your operating income growth, your net income growth and as we think about cash flow for next year. Do you think that that gap might normalize and it will grow a little bit more in line with your operating income? Thanks Tim.
Timothy Cabral: Yes, so in terms of cash flow for this year, Karl and thanks for the question. In terms of the cash flow, you're right. We have seen better performance and that's primarily driven by the bottom line results and the outperformance on the topline as well. So it's a combination of those two things, which drives a little bit higher billings, which you've seen us raise throughout the year as well as better cash flow performance in the year. As you saw in my Q4 guidance, I do expect it to be breakeven when you take or when you exclude the benefit of the stock comp tax change that we talked about. I will ask you to nicely wait for 90 days before, we talk specifically about cash flow for fiscal 2019 in more specific detail around the shape of that and the relative relationship between that and our operating income or topline growth guidance.
Karl Keirstead: Okay, maybe just given that I can sneak at one more. Do you mind I think on the last call, you talked a little bit about a hick up on the network data side? Do you mind giving us an update on that? I know that that's not going to turn on a dime, but was it for instance any bigger a year-over-year revenue drag than perhaps it was last quarter? Any color on that please?
Peter Gassner: Sure, Karl. So we continue to have headwinds in the network in OpenData business, but we did have some important wins last quarter. In OpenData, we closed deals in multiple countries on multiple continents. In the network, we did have one top 20 pharma company that decided to move their reference data in the U.S. to Veeva OpenData and to U.S. Veeva network as their customer master. And that was a sales cycle they've been working on for a while. So it's good to see that one come through. So some progress, I would say no breakthrough but ever time we make a little progress and we have another happy customer will gets out a little bit more. So we're still hopeful that it will become the leader in that business over time. But as we've talked about before it's taking longer than we would have hoped.
Karl Keirstead: Yes, got it. Thank you both.
Operator: Your next question comes from the line of Scott Berg with Needham. Your line is open.
Scott Berg: Hi, everyone. Thanks for taking my questions and I apologize for any background noise in the near for us. Two questions from me. I’ll start with an office for Peter or for Matt, but just can talk about the success that you've had between CTMS and eTMF. Can talk about the upsell watch the overall new business maybe today versus two years ago? How much more quickly are you able to upsell customers and maybe some growth trends around ASP. Just trying to understand maybe what that looks like?
Peter Gassner: Yes, in terms of upsell to customers, I don't think that is particularly change, which changes we have a broader product footprint that's changed. We've also given customers and earlier heads up as to our strategic plans that were becoming a more strategic partner to our customers in many cases where they're most strategic technology partners. So we’re announcing our intent earlier. So for example with safety, we announced our intent that the last R&D summit a few months ago now that product won't be available into early adopters until 2019. So what we're doing, I think we're priming the pump a little bit more because we're giving customers an early heads up, why are we doing that I guess who are becoming little bit more predictable as a large company. We have to plan a little bit further ahead, and also we're not worried about competitors or our ability to execute because we have a lot platform where we want it. We're very confident we can build those applications. And we're just not worried about competitive threats in these areas. So overall, I don't think it's really change. We really have to sell each application on its merits and on its value. But our product portfolio is broader and were announcing products earlier than we have, let’s say two years ago.
Scott Berg: Thank you. Very helpful. And then the last question probably is for Tim. Maybe I need to be patience like [Carlos] for three more months. So when we look at operating margins next year in your initial guidance, a 30% level or better is kind of in line to maybe below where we were last quarter to and that could be reflective of the add to your overall workforce that maybe a little bit behind. But what should we think about those investments coming next year? Are there any different than what we see in the last two years that almost seems like it sounds like you maybe accelerating investments in a particular area or two? Thank you.
Timothy Cabral: Yes. Scott, I don’t know if it’s necessarily different than what you've heard us talk about in terms of our investments, and it's along the lines. I think Peter might have answered a question a couple quarters ago that I will likely repeat here, which is I think there is investment that we see in products as we – to Peter's point on your first question, Scott, as we continue to build out our product portfolio and our product footprint and introduce new products to the market like Veeva Safety or Vault Safety. So I think it's in the product area. It's in the go-to-market area as I think about what Peter talked about in terms of commercial cloud, development cloud, and then outside life sciences there's certainly more to do from an investment perspective in our go-to-market approach there both with front line salespeople as well as strategy and market owners as we call them. And then I think what you'll see is an increased investment in services as it relates to continuing to meet the demand that we have in services and you saw me give a little bit of guidance for next year of a mid to high single-digit growth there. So I think those are the primary areas that we're seeing investment and I don't know if that's necessarily changed in the last few quarters.
Scott Berg: Thank you. I’ll jump back in the queue.
Operator: Your next question comes from Richard Davis with Canaccord. Your line is open.
David Hynes: Hey. Thanks guys. You got DJ on the line for Richard. So maybe on Vault Safety, Peter or Matt. Just help us kind of frame the opportunity in pharmacovigilance, you guys have so many Vaults now, it's hard to know kind of which ones can really move the needle in terms of growth. I know this is a big opportunity, but it will be helpful to kind of hear you set that up?
Matthew Wallach: Sure. Well I think to understand the size of it, first, let me just talk for a moment about what it is, why it's important. So – and you'll hear it referred to many different ways, so safety, drug safety, pharmacovigilance PV, adverse event tracking. That all means the same thing. And it's really about two things. It's about protecting patients and protecting the value of the company. So these safety systems ensure that all the potential adverse events triggered by a drug or its production are logged and analyzed. So it’s highly regulated and highly important process for every life sciences company done poorly patients can be harmed and not following the regulations can actually lead to products being pulled off the market. So it's a big complex messy market, but despite its really heavy importance, it's been dramatically underserved by technology providers for many years. So we think we can build a much better safety system on the Vault platform have it be the exact same platform that shared with clinical regulatory quality. And there's a lot of integration that needs to go back and forth between safety and those other systems. And so that's kind of the context of what we're going to deliver. In terms of the size, we think of the safety market is similar to the regulatory market. So if you take the four applications in our RIM suite, we think it's roughly of that size. And so it's one of the larger IT technology investments that our customers will make. And the last thing on this one is we've had – with 25 products now, we've had a lot of product announcements. As I travel and talk to executives and our customers, I can't remember higher excitement for a product before we delivered it. I mean it just has been – I mean I guess it's been tremendous, but it's been kind of what we are hoping for. So I am not totally surprised, but the applications that we're going to be replacing here are really some of the oldest legacy applications out there. And because it's such an important market, it’s been very painful for our customers. So it'll be a very welcome new product introduction and we think it's going to be significant. And it just really rounds out the whole development cloud as becoming the infrastructure, the electricity that this industry uses to develop new products.
David Hynes: Yes, okay. That's helpful. And then in terms of QualityOne and the expansion outside of life sciences, help us think about kind of where we are in terms of reference ability of your earlier wins. I know you’ve talked about a top five CPG customer in the past. Are these folks ramp to the point where you can lean on them to drive incremental business? Is it still too early for those customers that kind of speak on your behalf? Any color on the sales process in the new markets will be interesting?
Peter Gassner: DJ, I would say it is a little early. They're very early in their implementation. So I think we do get – have customers calling each other a little bit, but it's more in the terms of how Veeva is feeling good. It's not true reference selling. Now I’ll say one of the events we're looking forward to next year is our customer summit. We're going to have a customer summit for QualityOne towards the end of the spring and that would be our first one. And I think we'll have good attendance there. So the reference selling is going to start a little bit in this coming year, but I would still consider this an early adopter month.
David Hynes: Yes, okay. Great color. Thanks guys.
Operator: Your next question comes from Ken Wong with Citigroup. Your line is open.
Kenneth Wong: Hey, thanks for taking my question guys. Tim maybe you can start off on the comment you made earlier about some hiring that was pushed into Q4. Just wondering is this – just you guys having a harder time finding candidates and whether or not the pace of hiring has potentially picked up in the Q4 already?
Timothy Cabral: I wouldn't say that. I think this was more a few couple handfuls of candidates specifically as opposed to any big trend, Ken that I would say we're having more of a challenge in terms of hiring. And Q4 is looking strong as well early were a month and as you know and Q4s hiring is looking very strong as well.
Kenneth Wong: Gotcha. And then maybe if I could on QualityOne as well, Peter you mentioned earlier kind of this year is really kind of keeping track of kind of your early adopters kind of seeing what develops. I'm just wondering in terms of the early learnings, any tweaks to product or integration or go-to-market that you guys think it might make sense to adopt going forward?
Peter Gassner: We’ll always be fine tuning that. So next year, we will be doing more things in Europe, so we will have to fine tune our approach there for Europe. Overall, fine tuning things like packaging a little bit, positioning, how would these come more effective in the sale cycle. That’s really one of the things we do in the early adopter where we figure out what's working and then we do more of that. And in terms of the product also, yes, we're getting good ideas for extensions to QualityOne to make it even more appealing and we're even getting early ideas for things after QualityOne, right. We're not going to do any of those this next year because we really have our plate full with QualityOne, but we're getting really ideas. So it’s a constant learning process in QualityOne. We think it’s going to be a really big market, it's just under-served, and we have to be opportunistic and agile and help shape that market.
Kenneth Wong: Great. Thanks a lot guys.
Peter Gassner: Thanks.
Operator: Your next question comes from the line of Tom Roderick with Stifel. Your line is open.
Tom Roderick: Hi, gentlemen, good afternoon. Thanks for taking my question. Happy holidays. So I'm curious what the pricing trends look like here on the core CRM side. I understand there's not a whole lot of new seats left to be won, but as you're going through the renewals, is there any instances where you're starting to see any sort of pushback on existing pricing? Do you tend to sort of offset that with the upsells around CLM and approved email and now events and align are taking shape? Or to the contrary, are you seeing a price lift that's still pretty consistent with that 20% that you're sort of hoping for by module as you go back through the years and that's sort of the way that you would hope that to play. So any comments on pricing in the renewal base would be really interesting? Thank you.
Timothy Cabral: Yes. Sure Tom. So we're very proud to look customers in the eye and tell them that we've never raised price on a customer for one of our products at a renewal. And so the companies that buy Veeva CRM next year of the same size as companies that bought it 10 years ago will literally pay the same for the base product. And we think that that's key to developing a deep partnership with the industry. So that when people move around from company-to-company, they don't realize all, we've got a great deal from Veeva, these guys didn't. Now we strive for consistency and market pricing. Then now on renewals, here and there there's always going to be pressure on pricing as people try to get more out of their vendors, but it's just not a discussion that we generally have. In terms of how we're doing on the pricing of the different modules and the uplift that we saw that we saw and also remains consistent. And I think we're able to keep those price points because we're able to prove the value. So for example last week in Madrid, we had a customer on stage talking about their deployment of Veeva online and they had a slide with very specific metrics of productivity improvement and cycle time improvement before and after the adoption of Veeva line and they were like on a 60 or 70 people in the room and I think 90% of them took their phone down, took a picture of that slide. And so working with customers to be able to quantify the value, helps us to keep the market price is consistent over time. So that customers CIOs business folks and procurement understand the value that we're delivering.
Tom Roderick: Excellent, great color. One follow-up question for you here, just on the QualityOne suite, sort of understanding that the dynamic of that market is sort of made up of two pieces, QualityDocs and QMS. Is there either side of that equation that is more right for displacement and more right for disruption at this point? Are they both sort of dramatically a need of Veeva? What do you hear from the customer base particularly as you get outside of life sciences of where the wedge in the door might be most prominent at this point?
Peter Gassner: I think it’s around both, but probably a bit more on the QualityDocs. In the QMS, I think you have people a little more hesitant, a little bit more conservative. There are also some companies where we – where their QMS process is their quite light and but they still need QualityDocs processes and that's where you get into industry that's a little less regulated. So the QualityDocs is probably the a bit broader market or we saw them together. So we don't really separate them, but the docs area probably has a bit broader appeal overall and is a bit easier to get into as are our first wedge inside of a company.
Tom Roderick: Fantastic. Thank you guys, nice job.
Operator: Your next question comes from the line of Stan Zlotsky with Morgan Stanley. Your line is open.
Stan Zlotsky: Hey, gentlemen. Good afternoon and thank you for taking my questions. Maybe two for Matt, on the EDC product, it looks like you guys picked up additional three customers in the quarter. If you were to characterize the customers this quarter versus initial to that sign and are they about from profile perspective of they're all about the same kind of profile customers?
Matthew Wallach: Yes, Stan I would say they're generally the same, their companies that are working on their first products. These three happen all be publicly traded, so they're a little bit more valuable companies, and they all chose the Vault EDC to run Phase I trials. And I would say that the sales cycles were also similar. They were all competitive. The people that made these choices all had past experience with Medidata and Oracle and other EDC options. And I think that's what drove them to look for something new. And then the last piece of color on that, of those three, two were existing Veeva customers for another Vault application and one of them was buying something from Veeva for the very first time.
Stan Zlotsky: That's very helpful. Thank you. One thing you guys mentioned was the Zinc migrations and how 2018 and 2019 you’re expecting to see most of them? And as much as you're still more working towards the 2020 goal of moving all the customers over, what have you seen from customers have migrated thus far? What kind of pricing – not pricing, but of value uplift even able to get from those customers when they moved over from the Zinc over to Veeva Vault?
Peter Gassner: Stan, this is Peter. I won't go into specific percentages and things like that, but we are seeing a good uplift, good system more valuable product. And so for example we just added digital asset management capabilities right into Vault in a Brand Portal. So it’s a more valuable product and I think customers see that. In terms of 2018, 2019 being the big migration years, I think that's because frankly we've done a really good job of stabilizing the Zinc product and providing great customer support, so customers feel comfortable with that. They know that the lights turn out there the end of 2020. So it’s not – and that that's sets this up for a 2018 and 2019 are the time to do it. We've had early adopters do it already for sure. We had a large – presentation by a large company, I believe the top 20 or top 30 company in Europe that has completed their migration some months ago and was able to talk about the success of it, the process of it, what they like and what they didn't like. So that – I think that will further fuel the migration because it’s becoming a very known quantity, now it's becoming known process how to get from A to B.
Stan Zlotsky: Got it. Thank you. And just last one for Tim. On billings performance in Q3, you mentioned that some of the upside came from longer duration of billings as well as on the professional services side, x-out the duration and higher than expected per services, was that driving all the upside or was there essentially organic so to speak upside to billings in Q3? Thank you.
Timothy Cabral: Yes. I would say those were the vast majority, Stan and on the duration side it was more a function of some of the newer business or more the newer business were annual billers as opposed to quarterly billers. So it’s just the mix of new business in Q3, which drove that billing performance primarily.
Stan Zlotsky: Got it. Thank you.
Operator: Your next question comes from the line of Sterling Auty with JPMorgan. Your line is open.
Sterling Auty: Yes. Thanks. Hi guys. Actually I had two questions for Tim. What portion of your contracts are multi-year that include price accelerators in that?
Timothy Cabral: That is probably still in the low double-digits I would say, Sterling. So 10% would be – I wouldn't call it a guess, but 10% would be my best educated number, so roughly 10%.
Sterling Auty: Okay. Great. And then my one follow-up is when you move to 606, do you plan on doing modified or full retrospective you are seeing there?
Timothy Cabral: We are doing full retrospective.
Sterling Auty: All right. Perfect. Thank you.
Operator: Your next question comes from the line of Rishi Jaluria with D.A. Davidson. Your line is open.
Rishi Jaluria: Hey guys. Thanks for taking my question. I guess first, Peter I know it's obviously early with QualityOne, but at scale, I mean can this be a bit more of a channel assembly product where you can leverage industry expertise from some of your partners both existing as well as new ones that might get attached to the product in order to drive the go-to-market strategy with QualityOne, and then I have a follow-up for Tim.
Peter Gassner: That's a good question. I believe the channel will most likely be with the systems integrators; actually I feel it will be very similar to inside of life sciences, potentially different partners. But I don't think it will be a reseller type model. I mean as we gauge into the future, I guess anything is possible, but right now it feels like a direct selling model with tight partnerships with system integrators that specialize in the quality area.
Rishi Jaluria: Okay. Got it. That's helpful. And then Tim just really quickly, how is the services attach rates with some of the more mature Vault products like the commercial side been trending as there's been greater adoption and references? Thanks.
Timothy Cabral: Rishi, good question. So I think what we're seeing in the Vault area is for some of the – to your point, some of the more mature products, we're seeing something similar to what we saw with the CRM area where the attach rates slowdown over time and that's a combination I think both the actual overall pie reducing as well as more partner, more of our ecosystem is taking some of that revenue. So it's slowing over time. The services attach rate, I think in the development cloud area continues to be strong and we're seeing good demand in that area as well, which led to the guidance that we talked about in my prepared remarks.
Rishi Jaluria: All right, great. Thanks guys. End of Q&A
Operator: There are no further questions at this time. I will now turn the call back over to CEO, Peter Gassner.
Peter Gassner: Thank you all for joining us today. We look forward to talking with you in the New Year, until then happy holidays to everyone.
Operator: This concludes today’s conference call. You may now disconnect.